Operator: Good day, ladies and gentlemen, and welcome to Consensus Q1 2023 Earnings Call. My name is Paul, and I will be the operator assisting you today. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] On this call from Consensus will be Scott Turicchi, CEO; John Nebergall, COO; and Jim Malone, CFO; and Adam Varon, Senior Vice President of Finance. I will now turn the call over to Adam Varon, Senior Vice President of Finance at Consensus. Thank you. You may begin.
Adam Varon: Good afternoon, and welcome to the Consensus investor call to discuss our Q1 2023 financial results. Other key information and reaffirmation of our 2023 guidance. Joining me today are Scott Turicchi, CEO; John Nebergall, COO; and Jim Malone, CFO. The earnings call will begin with Scott providing opening remarks. John will give an update on operational progress since our year end investor call and then Jim will discuss Q1, 2023 results and 2023 guidance.  After we finish with our prepared remarks, we will conduct a Q&A session. At that time, the operator will instruct you on procedures for asking a question. Before we begin our prepared remarks allow me to direct to you to the safe harbor language on slide 2.  As you know, this call and webcast will include forward-looking statements. Such statements may involve risks and uncertainties that would cause actual results to differ materially from the anticipated results. Some of those risks and uncertainties include, but are not limited to, the risk factors outlined on Slide 3 that we have disclosed in our 10-K SEC filing as well as a summary of those risk factors that we have included as part of the slide show for the webcast. We refer you to discussions in these documents regarding safe harbor language as well as forward-looking statements. Now let me turn the call over to Scott.
Scott Turicchi: Thank you, Adam. I would like to provide a brief overview of the quarter before handing the call over to John and Jim for details on our operations and our Q1 financial results. Q1, 2023 was a record first fiscal quarter with revenues of 91.5 million and an all time record for our fax volumes. Our revenue was in line with our expectations representing approximately 24% of our annual expected revenue at the midpoint of our guidance for the year. Amit And consistent with our disclosure during the Q4 call. The corporate channel experienced 6.2% growth consistent with the organic performance in Q4 of 2022. Despite this growth, we continue to see slow decision making by our largest prospects and slow implementation by those under contract. This has driven by uncertainty in the economy and labor shortages that exist, especially in the health care space. As we've stated before, we believe that this will continue throughout 2023 and our previously released guidance has taken that into account.  The price changes for SOHO are coming to an end at this current quarter and continue to perform within our model expectations. As you know, during the quarter, we had to file both an amended 10-Q for Q3, 2022, as well as the late 2022 10-K. The amended 10-Q delays and filing an additional audit work had an incremental cost of $2.3 million more than in Q1 of 2022 and had an impact on our EBITDA margin of 2.5 percentage points. In addition, as we noted in the Q4 call, our labor costs are up about 3.3 million due to an additional 70 employees more in the current quarter, most of whom were hired in 2022, an annual merit increases that took place on January 1 of this year. This is approximately 25% of the 12 million increase that we noted in our Q4 call. This had an impact on our EBITDA margin of 3.6 percentage points. As our revenue grows sequentially throughout the year, and the audit costs do not repeat we will see an expansion of our EBITDA margin. As we stated last quarter, we are judicious in our incremental hiring and are looking for ways to lower our non employee costs. The sales and marketing realignment has taken place and we are starting to see some of the benefits of the new structure. John will give you additional details in his portion of the presentation.  I am pleased to report that the VA has begun the rollout of the EC fax service. Two facilities were deployed post the close of the quarter and there is now a roadmap for the next several months. We will generate a de minimis amount of revenue in Q2 and see the rollout ramping in future quarters as more facilities are brought online. There are now more than 20 agencies interested in the service. 10 prospects have already been provided a demo and are an active discussions with Cognosante and ourselves. It is still early and we do not expect any of these new agency opportunities to produce revenue in 2023, but are encouraged by the widespread interest in the solution.  Before handling the call over to John, I'd like to spend a moment to discuss our liquidity and capital allocation alternatives. We remain very liquid with more than 111 million of cash on our balance sheet, and a $50 million undrawn line of credit that we put in place back in March of 2022. These funds are targeted to get paid down which cannot occur until the second anniversary of the spin, which would be October of this year, and opportunistic stock repurchases. To that end in the quarter, we were able to repurchase approximately 270,000 shares at an average cost of approximately $34 per share. I'll now turn the call over to John. 
John Nebergall: Thank you, Scott. As you'll recall, in our last update, we announced a broad realignment of our go to market organization. This action was taken to build upon our sales and marketing foundation that we had established post spin with a focus on improving both efficiency and effectiveness of our revenue generating efforts. As part of that initiative, we eliminated the revenue stream designations of enterprise, mid market and SOHO streamlining the organization into strategic sales and direct sales. As a reassurance to the interested call audience, we will continue to report SOHO results consistent with your current models. However, operationally we manage under the real line structure.  This past quarter following an extensive search, we were able to secure new leadership for our direct sales team and are closing in on our targeted staffing level. The activities around implementation and normalizing operations under the new structure are progressing. In addition to the organizational changes, we have completed an extensive account reassignment project and initiated outreach to customers for introductions to their new Consensus content. In concert with this, there have been a number of changes to the quota assignment and commission system designed to better motivate the sales team and drive top line performance. These improvements to quota and commission are the results of a data driven approach employed by our sales enablement team and we will continue further to further our data analysis program to identify opportunities for the business. One more facet of the sales piece of the realignment is establishment of a new account development team. This group is making use of new analytics tools to target existing accounts for wallet expansion activities. While still fully developing their approach, this team has already contributed nicely to our pipeline building results for Q1. On the marketing front, we have merged the former corporate and web teams into a single marketing organization. The team has begun evaluating the business more holistically and identified several tools that will increase the efficiency and effectiveness of our marketing efforts. The team has also worked hard on ensuring our success at two major health care conferences the [indiscernible] show in Chicago and [indiscernible] Nashville which were both held only weeks apart. Those efforts resulting in the acquisition of hundreds of new reads and the ability to demonstrate clarity to 1000s of new health care leaders were wildly successful for the company. Surrounding the entire go to market restructuring is our IT infrastructure and the work to arrange all of the reporting forecasting, billing and attribution changes in support of the new organization is an ongoing task. With the size and scope of the work needed to have this project completed, we expect that it will be an ongoing effort for the entire balance of 2023. In the next slide, we can walk through some of the key operating results for the quarter. Consistent with our commentary on the Q4 call we continue to see delayed decision making in the face of client side staffing shortages, and customer project backlogs caused largely by the current macro economic uncertainty. I would describe the sales outcome is flattish up slightly sequentially from Q4 and down slightly year-over-year. While we have worked hard to mitigate the impact of our realignment on overall sales productivity, as you can tell from the earlier slide, there was a lot of activity around this and there was certainly some loss of sales efficiency in Q1. That said there was a few items of note that are important to discuss. First, sales of fax was up both over Q1 of 2022 and sequentially over Q4. In addition, the advanced interoperability price again accounts for a significant portion of overall sales coming in at 30% of bookings. Also of note is that the upsell program we announced last year, and a plan to accelerate through the realignment accounted for nearly a million dollars of new bookings, expanding our revenue from existing accounts. Finally, we did close two larger size [indiscernible] deals as the feature set is proving very competitive to the market incumbents. We remain pleased overall with the state of our pipeline and while we continue to see slow prospect movement through the sales process, it remains strong and in fact continues to grow both with government agencies as well as our commercial prospect set. In the SOHO business, there are only a few months of annual plans to adjust for the price increase we enacted last June. And the customer base overall is holding very solidly within our model expectations for churn with churn for the quarter coming in at six basis point improvement from Q4 as results. This past April, we had our first two successful deployments of the EC fax solution for the VA with additional sites planned in the coming months. It's still early times here, and we haven't yet gotten to a predictable cadence for us to confidently forecast the pace. We look forward to working towards some normalization on that front. But until that time, it will remain somewhat lumpy and difficult to accurately anticipate the EC fax contribution in the coming months. The first production instance of clarity has been accepted by the customer and the role of timing is dependent on availability of client side resources. We have also had very successful demonstrations of the clarity technology at both [indiscernible] and Vives. An interest in AI powered solutions generally is reaching a high level. In the meantime, we have active POCs in process with additional customers and are actively engaged in a number of discussions with pipeline prospects. The product team is working on several fronts, from security to new products and infrastructure improvement. Our high trust annual certification is underway. And we will be introducing J-sign as a new addition to our high trust certified product set. Progress continues to be made on harmony. And we are code complete with a production version of fax to direct a feature that allows faxed documents to be delivered as direct secure messages across the Direct Trust network. This allows providers to use either a recipient fax number, or their direct address to securely deliver vital health care information. As announced in the last call, the product team is introducing the new discipline of product marketing, creating a more effective bridge between the engineering work that creates products and the commercialization process.  We have successfully recruited a strong leader for the team and are beginning the work of establishing this vital function for the business. As we talked about on the last slide, there is an important systems component to our realignment that the product engineering team is building as part of our larger genesis initiative, including salesforce and consolidation of our billing systems to generate better and more insightful reporting for the sales enablement team to use as a key component of their data driven approach. Finally, the engineering team is working on several system improvements that will support our upmarket move in Japan. There have been several large prospects in Japan who have expressed interest in a corporate version of our product, which has historically not been available in the Japanese market. We anticipate beginning up market activities there in Q3.  In summary, we have made some great progress on our realignment initiative and while there is certainly more work to do, we're pleased with what's been accomplished. We continue to see slow decision making in our prospect pipeline. However, the dialogue remains active. Sales results for the quarter are consistent with our expectations given the macroeconomic environment and progress in our efforts to upsell within the base as well as seeing J-sign getting traction are encouraging. The VA rollout has begun. Our first clarity production installation will commence once client side resources become available and the SOHO base churn has been holding within expectations. Finally, the product development team is focused on security, harmony development and infrastructure support of the go to market realignment. Now let me turn the discussion over to Jim Malone, our CFO. Jim?
Jim Malone: Thank you, John. And good afternoon, everyone. Let's start with our corporate business business results. Q1, 2023 corporate revenue was $49.4 million, an increase of 2.9 million or 6.2% over the prior year comparable period. On a constant dollar basis, corporate revenue was 6.4%. Opera difference is due to a greater portion of paid debts coming from SMB customers and acceleration of SOHO migration to corporate. Monthly churn was 1.4%, down from 2% for the prior year, supporting our last 12 months revenue retention of approximately 102% consistent with our expectation. Moving to SOHO results, Q1 revenue was aligned with expectations of $42 million, a decrease of approximately 0.8 million or a negative 1.8% over the prior year comparable period. On a constant dollar basis, SOHO revenue was a 0.4 million or point 0.7% negative. [indiscernible] of $15.10 increase the $1.22 or 9% year-over-year. Monthly churn was 3.8%, up from 3.5% over the prior period and along with expectations. The year-over-year revenue decrease was due to lower paid debts partially offset by higher opera related to price increases the price increase further enhance the contribution to SOHO fixed revenue. Moving now to consolidated results for Q1. Revenue was 91.5 million and increase of 2.2 million or 2.4% over Q1, 2022. On a constant dollar basis revenue increased 2.7 million or 3% year-over-year. Reported adjusted EBITDA of 44.2 million is a decrease of 4.4 million or 9% delivering a 48.4% adjusted EBITDA margin driven by planned employee related expenses and professional fees in connection with the 2022 yearend audit. Non-GAAP EPS of $1.10 was lower by $0.23 or 17.3% compared to comparable prior year period, driven by the adjusted EBITDA items mentioned and a negative 1 million non-cash foreign exchange impact related to the intercompany balance revaluation partially offset by higher revenues. We ended the quarter with 111 million in cash, which is more than sufficient to fund our operations in debt. We are reaffirming full year guidance, for revenue adjusted EBITDA and adjusted non-GAAP EPS. The 2023 guidance ranges are as follows: revenue 370 million to 390 million with 380 million at the midpoint. Adjusted non-GAAP EBITDA 192 million to 206 million with 199 million at the midpoint. Adjusted non-GAAP EPS $4.93 to $5.20 with $5.08 at the midpoint. Our Q1 non-GAAP tax rate and share count was 19.98% and 19.9 million shares within our 2023 guidance. We are planning to file our Q1, 2023 10-Q on market close tomorrow May 10.  This concludes my formal remarks. I will now turn the call back to the operator for QA session. Thank you.
Operator: Thank you. We will now be conducting a question and answer session. [Operator Instructions] And the first question from the line is coming from the Ian Zaffino from Oppenheimer. Ian your line is live.
Ian Zaffino: Hi. Thank you very much. I joined a couple of minutes late but glad to see this VA is now being implemented. How do we think about the ramp of the VA as it relates to the rest remainder of the year and then into 2024? Thanks. 
Scott Turicchi: Yeas Ian. This is Scott. Appreciate the question. So the way the VA rollout works is there's an initial group of five facilities of which to have launched as was noted in our press release in our comments. The other three are to be launched over the next 60 to 90 days. Cognosante, the VA and ourselves are working down on a plan or the rollout beyond that timeframe. And there's some different methods of doing it. But what has occurred today is to go facility-by-facility with the goal of cutting over predominantly, if not exclusively, all of the modes by which that facility send and receive faxes. So that would be the porting of telephone numbers for inbound that may be connected to servers, multifunction printers and devices converting over of which there's a variety of underlying providers like Lexmark and HP, Rico, Canon, etc. And then there's the outbound piece, which is the sending of documents via the service, which actually do not require a telephone number to effectuate that. So the first five are going on essentially a full cutover basis. It is typical with our corporate clients that we actually, if they are as sophisticated as the VA facilities are, we actually do it in phases. And so instead of trying to do everything all at once, particularly when we find there's a distribution of traffic, oftentimes, say a multifunction printer, a specific brand may have a very small amount of the total traffic of that facility or that entity. We would face that to be at the end to be cut over. Let's say that's not currently what is going on. So Cognosante and the VA and ourselves are working with the plan, once we get through the first five, to hopefully have a more streamlined approach that can accelerate the pace of rollout, certainly, at least have the outbound services for certain of the facilities, and then phase in overtime other elements on facility-by-facility basis. But that's still very much under developed with the VA. So long answer your question, which is still going to stay. I don't think the five facilities that we know are in this current phase as I mentioned in my comments, they'll have a de minimis contribution to revenue in Q2. There will be someone slightly above de minimis in Q3 and hopefully slightly greater than that in Q4. It's really as we get beyond the first five and start layering in the ramp beyond that, and the mode by which that ramp occurs, that will be better able to answer the '24 question, but I don't think in any event is going to be terribly impactful for '23 revenue.
Ian Zaffino: Okay, thank you. And then on the margin side how are you thinking about margins I guess as we kind of enter a recession or the slowdown we're seeing? Margins were down year-over-year. How do you intend to, I guess, hit that margin target of the [indiscernible]. And what type of offsets can you do on the cost front? Thanks.
Scott Turicchi: Well, we focus first on the EBITDA margin, that's the 50 to 55. And actually, if you look at Q1 we had these unfortunate as rather large expenses related to the 10-QA filing and the delayed 10-K filing of about $2.3 million, versus what we spent in Q1 of '22. That's 2.5 points in margin right there. So those expenses certainly will not reoccur. Our audit and other professional services go down, always dramatically in Q2 and Q3 and we start to ramp in Q4 as we look to the next audit cycle. So we're kind of in the range. Having said that, there is as I said in my prepared remarks, there is about $12 million of increase year-over-year in compensation expense related primarily to our employees. We have about 70 more employees in Q1 of '23 versus Q1 of '22, although essentially flat with where we were at year end, but we do have merit raises that took effect in January of this year. So that's been fully budgeted. And we saw basically, a full quarters effect of that with an increase of non-GAAP compensation expense of about 3.3 million. So that I do expect to persist throughout the year. And then, as our revenue grows, we should see the margin continue to expand off of what I'll call the pro forma margin of about 50% to 51%, when I pack out the excess accounting and legal fees associated with the audit. So we're very, as I mentioned in the last earnings call, given that our budget contemplates, at the beginning or the middle of this year of recession, we're very judicious on incremental costs, particularly as it relates to additional hires. We do still continue to hire, but we're not hiring anywhere near the pace we did in 2022. And when we look outside of the employee costs, which are about 56% of our total cash cost structure, we look for areas where we can either eliminate costs or trim some costs. So there will be puts and takes I think, as we go through the balance of the year where we probably will pick up some incremental savings in these non-compensation non-employee related expenses.
Ian Zaffino: Okay, thank you very much. 
Scott Turicchi: You are welcome. 
Operator: Thank you. [Operator Instructions] The next question is coming from Jon Tanwanteng from CJS Securities. Jon your line is live. 
Unidentified Analyst: Hi, good afternoon. It's Pete Lucas for Jon. You answered a lot of the questions in the prepared remarks, do appreciate that. I guess just going back to you talked about delayed decision making impacting sales. Can you kind of break that down in terms of how it's affecting healthcare budgets? And specifically, are there any reasons why IT departments are getting stuck or hung up? And then also how it relates to the non healthcare corporate, end markets such as legal and financial? Are they seeing similar headwinds to healthcare? 
Scott Turicchi: Yes. Thank you for the question. I appreciate that. I think what you've got in healthcare is a lot of pressure on healthcare IT organizations to stay staffed. And we started to see that as we came out of pandemic, but I think that part of it accelerated beginning about middle of last year. We started to see the roots of it, I think we talked about it on a couple of these calls now. And healthcare in particular, was pretty hard hit with the ability to find some of these technical resources they need to run their IT projects. So you can imagine if you're a large health system, you have any number of IT projects. And now you have a dwindling number of staff to help with the implementation. And while certainly the kind of implementation that we perform at these kinds of facilities is a relatively light touch, it still does require interaction and work with the internal project teams on the client side. So where we're seeing a fairly large impact in our ability to drive revenue is in those particular areas. I think secondarily, what we're also seeing is some caution and the caution, I would say is not limited to just healthcare around making the decision to pull the trigger on purchasing. So while we're still working through and working with these clients and having engaged conversations, the question is is this something that I'm going to pull the trigger on right now? Can it wait a month? And it's not a matter of, in our minds, it's a matter of when, and I think that like much of everybody else that is looking at the economy right now it's trying to decide at what point whatever it is this recession, whatever form this recession takes, when does it hit? What does it look like and how effective for how effective am I going to be? And I think those questions are keeping the market slow to be able to feel comfortable moving into new kinds of technology. 
Unidentified Analyst: Very helpful. Thanks. I'll jump back in the queue.
Scott Turicchi: Before Paul, we go to the next question, we got a few questions that have come by email. These are pretty quick answers. One is question came is aiming for the VA contract or Japanese expansion revenues that John mentioned, including our guidance the answer, or Well, I would say our budget the answer that is no. Obviously, our guidance is a wide range. So the expansion of the range particularly to the upside, you could argue part of the way to achieve that outperformance would be contributions from the VA contract with Japan. But as I noted earlier, I don't expect to be in contract this year to be a major contributor. And I would say the same is true of Japan, but they're not in our budget. And then the other question regarding costs is exclusive of the audit costs, which I assumed as the 2.3 million that I referenced in the prepared remarks our SG&A and R&D come in relative to expectations pretty much in line a little bit heavy on some employee costs by maybe 200 or 300 grand but in the aggregate, both SG&A and R&D were in line exclusive of the 2.3 million of professional fees that I referenced earlier. Let's go back to live questions. And we'll come back to another question by email. 
Operator: Certainly. [Operator Instructions] 
Scott Turicchi: All right, well, I'll take this opportunity for [indiscernible] to go to the next question by email. And the question is, some of you may have seen that we put out a press release a few days ago, regarding our relationship with AWS, the ISV opportunity, I think was a pretty detailed release. But John, why don't you give some additional color? I think that the questioner would like some additional color on that relationship.
John Nebergall: Absolutely. I think that so much of what we've been able to gain over the last two or three years, has been part of our growth in the channel area. The channel program is something that the organization has developed probably beginning in 2017 or 2018. And when you think of AWS as a channel, what you're really looking at is the large customers that very often use AWS as their platform as they look for technology solutions, AWS becomes a great source for them, to be able to not only direct them to quality vendors like ourselves, but also understand that those vendors because they use AWS have a high degree of compatibility with the environment that they're already working in. Now, I know, as we have spoken with not only AWS but the customers that we have had through the introduction through AWS, that the entire ecosystem there is very interested in making sure that you have solutions that can interact simply with each other and that are accustomed to the same platform. So I think that as we look at that relationship, we look at the relationship we have with Verizon and Salesforce, those kinds of relationships continue to be important drivers for us. And those kinds of introductions are very helpful for us as far as how we advance our ability to sell into a variety of markets, and be able to draw the top line. 
Operator: There were no other questions from the dialed audience. This time, I'd now like to hand the call back to Scott Turicchi for closing remarks. 
Scott Turicchi: Great. Thank you, Paul. Thank you all for participating today in our Q1 earnings call. We have a release that will come out that will reference additional conferences that we'll be at over the coming weeks. My recollection is correct, will be at an [indiscernible] conference of Goldman Sachs coming up and then virtually at a Needham conference which is being held in New York, but our participation will be virtual. And both of those will be entertaining one-on-one and in some cases, we'll also have a public presentation so stay tuned for the webcast links for that. In terms of the next regularly scheduled call we'll look to report Q2 earnings probably the week of I believe it's August the 8, or August the 9 I can't remember exactly which that Monday is but it'll be sometime that week. We'll obviously put out a notice well in advance to alert you to the times and wait to participate. Thank you. 
Operator: Thank you. This does conclude today's call. You may disconnect your lines at this time. Have a wonderful day. Thank you for your participation.